Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American States Water Company conference call discussing the company's First Quarter 2023 Results. The call is being recorded. If you want to listen to a of this call, it will begin this afternoon at 5:00 p.m. Eastern Time and run through Thursday, May 18, 2023, on the company's website, www.aswater.com. The slides that the company will be referring to are also available on the website. [Operator Instructions]. This call will be limited to an hour. Presenting today from American States Water Company are Bob Sprowls, President and Chief Executive Officer; and Eva Tang, Senior Vice President of Finance and Chief Financial Officer. As a reminder, certain matters discussed during this conference call may be forward-looking statements intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995.  Please review a description of the company's risks and uncertainties in our most recent Form 10-K and Form 10-Q on file with the Securities and Exchange Commission. In addition, this conference call will include a discussion of certain measures that are not prepared in accordance with generally accepted accounting principles or GAAP in the United States and constitute non-GAAP financial measures under SEC rules. These non-GAAP financial measures are derived from consolidated financial information but are not presented in our financial statements that are prepared in accordance with GAAP. For more details, please refer to the press release.  At this time, I will turn the call over to Bob Sprowls, President and Chief Executive Officer of American States Water Company.
Robert Sprowls: Thank you, Gary. Welcome, everyone, and thank you for joining us today. I'll begin with some brief comments on the quarter. Eva will then discuss some financial details, and then I'll wrap it up with updates on regulatory activity, ASUS, dividends, and then we'll take your questions.  I'm pleased to report that our adjusted earnings for the first quarter of 2023 were $0.13 per share higher than adjusted earnings for the first quarter of 2022. The higher earnings performance in 2023 was aided by the receipt of a proposed decision in Golden State Water Company's water General Rate Case or GRC, from the California Public Utilities Commission or CPUC, during April and strong earnings at our contracted services business, American States Utility Services or ASUS. The proposed decision allows us to continue investing in the utility infrastructure to provide safe and reliable water services for the communities we serve.  It sets new water rates for the years 2022 through 2024 and is retroactive to January 1, 2022. We remain committed to spending $140 million to $160 million this year in infrastructure investments at our regulated utilities, fortifying our water and electric systems to serve our customers for generations to come. ASUS also performed $18.9 million of construction work during the quarter and is on pace to meet its targeted earnings contribution of $0.45 to $0.49 per share for 2023.  Eva will discuss the quarterly earnings and liquidity and I'll turn the call over to her.
Eva Tang: Thank you, Bob. Hello, everyone. Let me start with our first quarter results. Consolidated earnings as recorded were $0.93 per share as compared to $0.38 per share for the first quarter of 2022, an increase of $0.55 per share. Included in the results of the first quarter was $0.36 per share related to the impact of retroactive rates from the proposed decision in the water General Rate Case for the full year of 2022 of which $0.08 per share related to the first quarter of 2022. The $0.55 per share increase also included a favorable variance of $0.06 per share from investment held to fund a retirement plan. We recorded gains on the investments of $1.6 million for the quarter as compared to losses of $1.7 million in 2022. Excluding these 2 items, adjusted consolidated earnings for the quarter were $0.54 per share as compared to adjusted earnings of $0.41 per share for the first quarter of last year, an increase of $0.13 per share.  For our water utility subsidiaries, Golden State Water Company, reported earnings were $0.74 per share as compared to $0.23 per share for the first quarter of 2022, a $0.51 increase. Both items as discussed affected earnings at the Water segment. So factoring the same effect from the 2 items, adjusted earnings for the first quarter at Water segment or $0.35 per share, which was an increase of $0.09 per share as compared to adjusted earnings of $0.26 per share for the same period in 2022.  Since 2023 is the second year of the GRC, as estimated second year rate increases effective January this year has been accounted for in the quarter. The $0.09 per share increase in 2023, adjusted earnings largely represent the difference from the 2021 adopted rate end of 2023 estimated second year increases for the first quarter, partially offset by increases in operating and interest and other expenses.  Our Electric segment earnings were $0.06 per share for the first quarter as compared to $0.07 per share for the same period last year. The decrease primarily related to not having new rates in effect yet for 2023 as we await the pending electric GRC that will set new rates for 2023 to 2026, while also experiencing continued increases in overall operating expenses and interest costs.  One of the decision is issued in the electric GRC new rates are expected to be retroactive to January 1, 2023, and cumulative adjustments will be recorded at that time. Earnings from our contracted services segment increased $0.07 per share for the quarter, which Bob will discuss later. Consolidated revenue for the first quarter increased by $52.8 million as compared to the same period last year.  Revenue for the water segment increased by $38.8 million, which includes the impact of retroactive new rate for the full year of 2022 of $30.3 million and estimated 2023 revenue increases of $8.7 million for the 3 months ended March 31 this year. The increase in electric revenue was partly attributed to advice letter filing and an expense allocation true-up as a result of the proposed water GRC decision. The increase in the general office expenses allocated to the Electric segment also included a corresponding offsetting increase in adopted electric revenues, resulting in no impact to earnings. In addition, there was an increase in revenue of $13 million from our contracted services.  Turning to Slide 9. Looking at total operating expenses other than supply costs, consolidated expenses increased $12.2 million as compared to the first quarter of 2022. The increase was largely due to an increase in construction costs at our Contracted Services segment resulting from higher construction activity due to timing difference of the wins construction work was performed in 2023 as compared to the first quarter last year and higher operations, administrative in general and depreciation expenses. The proposed decision in the water GRC issued in April also approved overall higher composite depreciation rates based on a revised depreciation study. The increase in composite depreciation rates increases to adopt the water revenue requirements with a corresponding increase in adopted depreciation expense, resulting in no impact to net earnings.  Interest expense net of interest income increased by $2.3 million due to higher average interest rates during the quarter and increases in overall borrowing level. Other income net of other expenses increased by $2 million due primarily to gains on investments held for retirement benefit plans partially offset by increase in the nonservice cost component for Golden State Water's benefit plan.  Slide 10 shows the adjusted EPS bridge comparing the first quarter of 2023 and 2022.  Turning to liquidity on Slide 11. Net cash provided by operating activities was $7 million as compared to $38 million for the first quarter of 2022. During the first quarter of last year, our regulated utility received $9.8 million in COVID-19 relief funds from the state of California to provide assistance to customers for delinquent water and electric customer sales incurred during the pandemic. There were no relief funds received this year. The decrease in operating cash flow was also due to a 17% decrease in build-water consumption as well as the continued delay in receiving the water GRC finance decision. Once the final decision is received Golden State Water will request recovery through a surcharge of our retroactive revenue accumulated since January 2022. In addition, we will also file for the second year rate increases for 2023.  In January 2023, Golden State Water received $130 million of proceeds from the issuance of unsecured private placement notes. The proceeds were ultimately used to partially pay down AWR's credit facility and further support Golden State Water's capital program. AWR's credit facility with a borrowing capacity of $280 million expires in July 2023 as a result of an amendment that extended the maturity day by 2 months. We requested the extension to provide us adequate time to possibly put in place 2 new credit agreements. S&P provides the same credit rating for both consolidated AWR and Golden State Water.  We are considering a separate credit facility for Golden State Water to allow for a separate credit rating and possibly improve the rating outlook for our flagship water utility. While lining up 2 credit facilities instead of 1 takes a little longer time. We believe that the company's sound capital structure and the A+ credit ratings for American States and Golden State Water combined with its financial discipline and history and relationship with lenders will enable us to access the market and put in place a new credit facility with reasonable terms. We anticipate the existing credit agreement will be terminated at an earlier date when it's superseded by the new agreement.  At this time, we do not expect American States Water to issue additional equity for at least the next 18 to 24 months to fund its current businesses. We will continue to assess the need for equity issuance and if and when a decision is made to issue equity we plan to raise capital over time. We will consider doing an added market offering that enables AWR to control the timing and size of each sales of its common share over several years.  With that, I'll turn the call back to Bob.
Robert Sprowls: Thank you, Eva. I will discuss a few key regulatory matters. Earlier, I discussed the proposed decision we received in the water general rate case. Among other items, the proposed decision through to adopt in its entirety, the settlement agreement between Golden State Water and the Public Advocates Office at the CPUC that had been filed with the CPUC in November 2021 and resolved all issues related to the 2022 annual revenue requirement in the rate case application, retroactive to January 1, 2022.  Furthermore, the proposed decision to address the 3 remaining unresolved issues related to Golden State Water's request for a medical insurance balancing account, a general liability insurance cost balancing account and consolidation of 2 of Golden State Water's customer service areas. The proposed decision to approve both balancing accounts and denied Golden State Water's request to consolidate the 2 customer service areas. The settlement agreement approved in the proposed decision authorized Golden State Water to invest $404.8 million in capital infrastructure over the 3-year cycle plus $9.4 million of capital projects that have been completed and filed as advice letter projects, the revenue for which was in effect in February of 2022.  It increases Golden State Water's adopted operating revenues for 2022 by $30.3 million, which includes an increase for higher adopted supply costs of $9.6 million and compared to the 2021 adopted revenues, excluding the advice letter project revenues -- sorry, as compared to the 2021 adopted revenues, excluding the advice letter project revenues. It adopts new operating expense levels for 2022, including higher depreciation expense, resulting from overall higher composite depreciation rates based on a new depreciation study adopted in the proposed decision and it allows for potential additional increases in adopted revenues for 2023 and 2024, subject to an earnings test and changes to the forecasted inflationary index values.  We're now in the process of preparing our next water general rate case for the years 2025 through 2027 to be filed in the third quarter of this year. As you may have seen, Golden State Water received a proposed decision on Tuesday of this week on the cost of capital proceeding. The proposed decision adopts the requested capital structure and cost of debt filed in the application, it adopts a return on equity of 8.85%. It allows for the continuation of the water cost of capital mechanism and adopts the new cost of capital from January 1, 2022 through December 31, 2024.  As discussed on prior calls, we have continued to record in the first quarter a reduction to water revenues, which decreased the first quarter earnings by $0.03 per share to reflect the estimated revenue impact of a lower cost of debt of 5.1% as requested in our cost of capital application as compared to 6.6% included in 2021 rates currently being billed to water customers. A similar adjustment based on the 2021 adopted rates was made throughout 2022. Also, an additional reduction to revenues of $1.1 million or $0.02 per share was included in the impact of retroactive new rates for the full year of 2022 and arriving at the $0.36 per share adjustment. That represents the incremental impact of revenues subject to refund related to the cost of capital proceeding.  As previously mentioned, the proposed decision allows for the continuation of the water cost of capital mechanism. For the period from October 1, 2021, through September 30, 2022, the Moody's AA utility bond rate increased by more than 100 basis points from the benchmark. As you may know, if there is a positive or negative change of more than 100 basis points, return on equity is adjusted by 1/2 of the difference. As a result, of the proposed decision, the water cost of capital mechanism will continue through 2024.  Moving on to Slide 14. Our electric utility subsidiary filed its general rate case on August 30, 2022 for new rates for the period 2023 through 2026. In addition to new rates, there are a number of items that are requested such as additional capital expenditures as part of the 4-year rate cycle and a new capital structure. In addition, we have requested recovery of more than $22 million in capital already spent related to the wildfire mitigation plans. The CPUC has approved a decision for a general rate case memorandum account that will make new rates once approved in a CPUC final decision effective January 1, 2023.  Turning our attention to Slide 15. We present the growth in Golden State Water's average rate base as authorized by the CPUC for 2018 through 2021. Weighted average water rate base has grown from $752.2 million in 2018 to $980.4 million in 2021. Based on the general rate case settlement agreement as approved and adopted by the proposed decision, the 2022 rate base amount is $1,152.3 million, which, if approved, would result in a compound annual growth rate of 11.3% since 2018. The rate base amounts shown for 2021 and 2022 do not include any rate recovery for advice letter projects.  Let's move on to ASUS. I'm pleased to announce that ASUS contributed earnings of $0.15 per share for the first quarter as compared to $0.08 per share for the same period last year, an increase of $0.07 per share. The increase was largely due to an increase in construction activity in the first quarter of 2023 as compared to the same period last year due to timing differences of when construction work was performed and an increase in management fee revenue resulting from the resolution of various economic price adjustments, partially offset by higher overall operating expenses and interest costs as compared to the same period of 2022.  As mentioned earlier, ASUS is on target to contribute $0.45 to $0.49 per share for the year. The completion of filings for economic price adjustments, requests for equitable adjustment, asset transfers and contract modifications awarded for new projects provide ASUS with additional revenues and dollar margin. We remain confident that we can effectively compete for new military-based contract awards based on our proven track record of managing water and wastewater related services for a military basis since 2004.  I'd like to turn our attention to dividends, which remain a compelling part of our investment story. The company has achieved a compound annual growth rate of 9.2% in our calendar year dividend payments to shareholders over the last 10 years. These increases are consistent with our policy to achieve a compound annual growth rate in the dividend of more than 7% over the long term.  I'd like to conclude our prepared remarks by thanking you for your interest in American States Water, and we'll now turn the call over to the operator for questions.
Operator: [Operator Instructions]. The first question is from Angie Storozynski with Seaport.
Agnieszka Storozynski: So first, with the proposed decision and the cost of capital, it's interesting because I don't even know when it really applies. So your best guess, is it truly retroactive to January 1 of 2022, i.e., this provision that you guys have been booking for the lower cost of debt would basically stick based on it?
Robert Sprowls: Yes. So it's not entirely clear to us, Angie. One interesting item to note in the proposed decision is it does not expressly state that the lower cost of debt. For 2022 and 2023 and the lower cost of equity for 2022, partially offset by the higher return on equity for 2023, all of which are set forth in the proposed decision doesn't really state that they should be retroactive to the beginning of 2022. Since the ordering paragraph solely focused on future rate changes, it could be interpreted that it was the ALJ's intent to make all these changes so a perspective. And we don't know what the ALJ's intent is. So more to come on that.
Agnieszka Storozynski: Okay. But if -- under the assumption that those are prospective changes, meaning the rates would be adjusted starting on the -- basically midyear, right, after the commission signs off on it. What would be -- if I were to reverse the provisions associated with the lower cost of debt, what would be the add back to 2023 from an EPS perspective?
Robert Sprowls: Yes. So we have the add back for 2022 to start with. That was roughly $0.15.
Eva Tang: $0.15.
Robert Sprowls: Yes.
Eva Tang: And it will book additional $0.03 for the first quarter of this year. So Angie, in total, up to March 31, that will be $0.18 that we'll be adding back.
Robert Sprowls: It's possible -- it's possible we won't get a final in the second quarter, but we think we will -- if we don't, hopefully, we'll have a little more clarity as where they're headed on this so that we can deal with it appropriately in the second quarter.
Agnieszka Storozynski: Okay. Well, that's just the first half of the question, right? The second one is when would the cost of capital adjustment mechanism kick in, right? So would it be -- I mean there are really only 2 options, right? Either coincidental with the new rates, so I mean you have middle of the year? Or actually, no, there would be 3. I mean there could be 1/1/23, could be mid 2023? Or you need to file and request that increase and only then it would kick in. So there is a third option, meaning it could get delayed until I don't know, like a September time frame.
Robert Sprowls: Right. And we...
Agnieszka Storozynski: So that would be fair.
Robert Sprowls: Yes. There's also that...
Agnieszka Storozynski: So that would be fair.
Robert Sprowls: There's also that 2022 adjustment, although it's very small for 5 basis points, but...
Agnieszka Storozynski: So your current guess would be that it happens, that it coincides with the reduction in the cost of debt, meaning roughly mid year.
Robert Sprowls: Yes. I mean, to be fair, we've had this for 1.5 days. But yes, we think that you would be sort of move in lockstep although we may know more as we move through time here, probably will.
Agnieszka Storozynski: And so now the last one, that's what I promise. So now assuming that we are doing it starting midyear, so the cost of debt down, cost of equity up well, whatever, by that 51 bps, minus the 5 bps, right? So right, I mean, if I get it right, 46 bps increase in the ROE starting midyear. So how big an increase does that have been an impact on an annualized basis? Does it have from an EPS perspective?
Eva Tang: Okay. I'll take that one, Angie. Well, you booked through the 5.1% debt, right? So that's reflecting our recording number. So will be the upside from the 8.9% to the 9.36%, 46 basis points. 46 basis points on our $1.2 billion rate base, I think it translates about $0.08 to $0.09 for the full year. So it depends on this to be for the full year perspective. So you have to count that into your increase.
Agnieszka Storozynski: Okay. Okay. Well, I mean, it's complicated, but frankly, we're just so much further in this whole process than we were on the fourth quarter call that it's -- again, that's just frankly remarkable that now both the GRC and this issue have been almost resolved, well, almost. So moving on to the electric GRC, just looking at the schedule. So we're still I mean we're still expecting a decision in that proceeding to be issued only next year, right? I mean, again, realistically speaking.
Robert Sprowls: Yes. So it's possible that we could get something in 2023, but I would say unlikely.
Agnieszka Storozynski: Okay. And my last question, this $0.02 drag at the corporate level I mean, yes, we did expect an increase in the interest expense there. But now that you will have a true-up in revenues, should I assume that this quarterly drag is actually slightly slower because I get actually cash recognition of some of the deferred revenues?
Robert Sprowls: You're talking about the unfavorable variance of $0.02 at the parent?
Agnieszka Storozynski: Yes. Yes. So I'm basically asking is it a recurring $0.02 per quarter or now that...
Robert Sprowls: It is. Because it really is -- it is a function of the borrowings we have at the parent that are not tied to borrowings at the utility.
Operator: Your next question is from Jonathan Reeder with Wells Fargo.
Jonathan Reeder: Congrats on getting the two PDs long awaited, but I guess when it rains, it pours in California, right?
Robert Sprowls: That is true in a lot of different for us.
Jonathan Reeder: So just wanted to keep going on the cost of capital proposed decision a little bit. So obviously, it took a lot of time to get this proposed decision don't know if you have any sense how much maybe influence the commission might have had on this proposed decision and kind of like what the thoughts are on the likelihood of the commission adopting the proposed decision as it is or whether like some past cost of capital proceedings on the water side, whether they modify the PD before adopting something.
Robert Sprowls: Yes. So I mean the utilities -- our company is analyzing the proposed decision and determining whether we like it or not. And so I'm sure the other 3 utilities are doing the same and then public advocates is doing the same. So then the question becomes, is anyone going to be lobbying the commission to get this changed. And I'd say it's too early to tell. I don't know that the other commissioners on their own would necessarily have an issue with this decision.  But they're just going to be a lot more on this here. We're just so early into the process. We don't completely understand what the decision says in terms of this retro activity to be honest. And so that will be something we'll have to get more clarity on. Sorry, I can't be more definitive than that. What's your view, Jonathan, I know you have a report out on it.
Jonathan Reeder: Well, I don't know. History that he presented, then they'll modify it some, but no. I mean you certainly raise a good point. I mean, if you guys are , if they don't raise issues with it, then why wouldn't the commission, I guess, kind of adopt it. So I guess...
Robert Sprowls: I don't know where public advocates is on this, too. They -- I don't know how they feel about it. They were -- they had lower recommended adopted ROEs for 2022, but I mean that was back in 2021 when everybody filed. And we now know where interest rates were in 2022, usually, it's supposed to be -- you're supposed to try to predict where the interest rates are going. But we now know. So anyway, I'm sorry, I can't be more helpful than that. If this isn't like 2018, though, Jonathan, which I know you remember, which was just awful, the proposed decision was awful.
Jonathan Reeder: Right, no, right. That one was very one-sided where your point I mean this one, the ROEs proposed seem to kind of in the middle to some degree and everything and then you have the cost of capital mechanism kind of resets and everything. So I just know if you have any thoughts or if there was any early onboarding or just because it did take so long if there was some sort of messaging that this is very much indicative of where the commission wants to come out, whereas past ones maybe that hasn't been the case.
Robert Sprowls: Right. Is it just the view of the ALJ and the assigned commissioner or are the other commissioners have they had a chance to weigh in at this point. I don't know the answer to that. I'm sorry. I always get nervous when these things come out, as you know, and this didn't -- well, I was here in 2018 and that just -- anything compared to that is you take a little bit of a sigh of relief.
Jonathan Reeder: Yes. No, I agree. I agree. So yes, we'll stay tuned and good luck on getting it across the finish line. The other topic I wanted to touch on and Eva, I know you discussed in your prepared remarks a bit, but the discussion in the queue around the credit facility and the need to do a 2-month extension, I mean, it just really struck me at that. I mean it seems like most companies extend or renew the facilities well in advance of the expiration date. So I mean I know you mentioned in the prepared remarks that it takes additional time to do the 2 credit facilities.  But again, I would have thought that this could have been done well in advance of the current facility kind of expiring. So I guess the question is, do you think the 2-month extension, is that going to be enough time to get the new ones in place and have these efforts been impacted in any way by the upheaval in the banking industry the last few months.
Eva Tang: Yes, Jonathan, we extended 2 months, but we expect to get it done well ahead of that. So we just don't want to be hedged to the last day of the credit facility and doesn't allow anything. So it's really a more conservative approach. We expect to get it down much earlier than the 2 months extension deadline. We met -- this came about when Bob and I met with S&P in December and looking to how we can get a separate rating for Golden State Water and took a lot of the research and talking to S&P to come to this kind of intention that would try to get 2 facility. And the amount will be larger to on the credit facility, we had 280.  This rate case, we got much higher capital expenditure in the last rate case. And we anticipate that rate base will grow when we file the rate case in August. So to support the next few years, CapEx with uncertainty of PFAS, and we are asking for a much bigger credit line amount if I would take a syndicated effort to put this together for 2 credit facilities. That's why it take it longer when we start this process.
Robert Sprowls: So just to add in there, I mean, we are a bigger company than we were 5 years ago, and we now have to have larger financing capabilities because of that and because of our CapEx program, and I do think the upheaval in the banking industry probably didn't help us at all here. So just a number of things.  But splitting the credit facility into 2 pieces, I think long term, that's going to be a real advantage to the company. And it takes more time to do that. And should we have started earlier? Maybe. But I don't think this is anything people should be worried about on the facility. All it is, is a function of the size and we did increase the complexity a bit, I would say.
Jonathan Reeder: Okay. Yes, no, I mean -- and that's the thing. And obviously, the credit rating is extremely strong where it is. So if you wouldn't have thought like getting a new facility would be an issue. So I appreciate be a different -- or the additional comments as to what was kind of going on with it. It sounds like maybe in the weeks ahead, should have something new in place if I'm reading the tea leaves correctly, so that's good. Last comment just on PFAS. I know the other companies have been addressing it based on your service territory, like how big of an issue is that? And how would that potentially impact the CapEx budget or the upcoming rate filing and stuff?
Robert Sprowls: Yes. I can give you a little bit of detail on that. So at this point, we've tested 78 wells at the company, basically at the state's direction, they identify sort of what areas you need to be doing these tests on. And then we have found 25 of the 78 that are over the state's notification levels and 9 over the state's response levels. Now these notification and response levels are actually higher than what the EPA of 4 parts per trillion is.  And so we're going through the process. So we've got 34 wells of the 78 to have issues and cost between $2 million and $5 million per well to retrofit them for this issue. We also have more wells than the 78. We've got a total of 170. So we don't -- we can't really estimate at this point what the cost of getting everything sort of up to where the standards are for the 4 parts per trillion. But it's going to be a sizable CapEx. I don't know, Jonathan, whether the first -- the 4 parts per trillion is going to stick or not. I know it came in a bit lower than what the industry was expecting.
Jonathan Reeder: Yes. How does the -- I guess, the 4 parts per trillion compared to that might -- like the state levels? Because I mean, I guess, the $2 million to $5 million cost you kind of through out there, that's just to retrofit them in accordance with the state standards? Or would that also...
Robert Sprowls: It is, but it doesn't jump considerably when you reduce down to the 4 parts per trillion. Not a big jump there because you're kind of putting in the materials at that point.
Jonathan Reeder: Okay. And so out of those 78 that you test, I know the 34 have issues with the state standards. Do you know how many of those would have issues with the four parts per trillion standard?
Robert Sprowls: Yes, all of them.
Jonathan Reeder: So it could extend beyond those 78 even, and that's why you threw out the 170, I guess.
Robert Sprowls: It is possible, yes, because the state -- the current state standard is lower or is higher than what the federal is.
Jonathan Reeder: Okay. All right. Are you going to try to encapsulate this at all in the upcoming rate case filing? Or would this be potentially something separate until you see what the EPA settles on if it is 4 parts per trillion and kind of what the compliance time frame is and everything.
Eva Tang: So we're still working on the rate case at this point, Jonathan, we're looking at the possibility, putting a strong testimony on additional CapEx and the water supply mix impact, et cetera. So we don't have a number at this point, but what is goes back really let it file, we filed the decision, I think, by all the folks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bob Sprowls for any closing remarks.
Robert Sprowls: Thank you, Gary. So I just want to wrap it up today by thanking you all for your participation, and we look forward to speaking with you next quarter. So have a good rest of your week, and good start to your summer. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.